Operator: Good day and welcome to the fourth quarter 2009 earnings call. Today’s conference is being recorded. At this time I would like to turn the conference over to Ms. Nancy Fazioli. Please go ahead, ma’am.
Nancy Fazioli: Thank you, operator. Good afternoon everyone and thank you for joining us for VeriSign’s fourth quarter 2009 earnings conference call. I’m Nancy Fazioli, Director of Investor Relations and I’m here today with Mark McLaughlin, President and CEO, and Brian Robins, Executive Vice President and CFO.  Please note that this call and accompanying Slide presentation are being webcast from our Investor Relations website located at investor.versign.com. Please refer to our website for important information including the Q4 2009 earnings press release and a reconciliation of our GAAP to non-GAAP information. A replay of this call will be available on our website within a few moments. Today’s Slide presentation will also be available for download after the call. Financial results in today’s press release are un-audited and the matters we will be discussing today include forward-looking statements and as such are subject to the risks and uncertainties that we discuss in details in our documents filed with the SEC, specifically the most recent report on Forms 10-K and 10-Q and any applicable amendments which identify important risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. I would like to remind you that in light of Regulation FD, VeriSign retains its longstanding policy to not comment on financial guidance during the quarter unless it is done through a public disclosure. The financial results in today’s press release and the matters we will be discussing today include non-GAAP measures used by VeriSign. Detail of the items excluded from our non-GAAP financial information are located on the VeriSign Investor Relations website. In a moment, Mark and Brian will provide some prepared remarks and afterward we will open up the call for your questions. Unauthorized recording of this conference call is not permitted. With that, I’d like to turn the call over to Mark. Mark?
Mark McLaughlin: Thanks, Nancy. Good afternoon everyone. Let me add my welcome to all of you joining today’s call. As the results indicate, Q4 2009 capped a solid finish to the year for VeriSign with the year-over-year growth in core revenue of 8%, while non-GAAP net income attributable to VeriSign and subsidiaries grew 23% from 2008 to 2009. Also during the year, we concluded a significant restructuring effort that was initiated in late 2007 and involved the bundling and eventual sale of 14 non-core businesses. We are pleased with the accomplishments and the results for 2009, particularly in light of the challenging economic backdrop during the year. Although the year was not without its challenges, we remained focused on our customers, operations and disciplined investments in growth prospects. For 2010 and beyond, as the economy continues to improve, we believe that we’re in a good position for future growth given our market leading position and our two core businesses of Naming and Authentication Services. We believe both businesses are indispensable to our customers and have made VeriSign’s brand synonymous with trust on the Internet. Also, our infrastructure is unmatched in our industries and provides a significant and unique competitive advantage for the future. I appreciate the hard work from our dedicated team over the last year and would like to thank them for their efforts and achievements. In terms of the business unit results for the quarter, I’ll start with Naming. Naming had a strong quarter. The base of registered names in dot com and dot net totaled 96.7 million names at the end of the quarter. This is an increase of 1.8 million net names added to the domain name base quarter over quarter compared to 1 million in the same quarter last year or a 7% in net names year-over-year. We ended the quarter with registered domain names ahead of our forecast as we saw strengthening in renewal rates and good international growth. During the fourth quarter we processed 7.3 million new names. This is a 4% increase quarter over quarter and up from 6.3 million new names in Q4 2008. The Q3 renewal rate was approximately 70.5%, an improvement over Q2 which had rounded up to 70%. While renewal rates are not fully measurable until 45 days after the end of the quarter, we believe that the renewal rate for Q4 2009 will be closer to 71%. As a reminder, in mid-December we announced that effective July 1, 2010 registry fees for dot com, dot net names will increase 7% and 10% respectively to $7.34 for dot com and $4.65 for dot net per year. As we look forward, given the data we have at this point in the quarter we would expect the Q1 net names added to the domain name base to be between 1.8 and 2.1 million names. To close out the Naming discussion, we have no updates from our analyst day in November regarding the status of the case filed against VeriSign by the Coalition for I Can Transparency or CFIT. The petition for re-hearing is still pending and there is no prescribed timeframe for the court to respond. Now, moving on to Authentication Services, in Business Authentication we saw the installed base of SSL certificates increase to 1.22 million certificates in the fourth quarter compared to approximately 1.2 million last quarter and approximately 1.12 million certificates in Q4 2008. This represents a 9% year-over-year growth in the base. The annualized average unit revenue or AUR for the installed base of VeriSign, Geo Trust and thought branded certificates for the fourth quarter was $228 which compares to $234 for the prior quarter. As I noted at our analyst day in November, we believe that the AUR is impacted by two factors, the mix in the base as lower end brands grow at a faster pace than the VeriSign brand and increased discounting in the recent economic slowdown. As the economy is improved, we have focused some efforts on reducing discounting and have made progress on that front in the fourth quarter. Also we saw strong bookings in the fourth quarter as enterprises began to show confidence in a market recovery. We appreciated being [met] at you at our analyst day in November. At that event we discussed the opportunities we see in our core businesses, given the increasing need for tracking the Internet. I look forward to reporting on those initiatives as we progress through 2010. Our March launch of Trust Services at the RSA Conference is still on target. I’ll now turn the call over to Brian for a review of our financial results for the fourth quarter and 2009. Brian?
Brian Robins: Thanks, Mark, and thanks everyone for joining us this afternoon. Before discussing our results for the fourth quarter, I’d like to highlight some of our accomplishments in 2009. For the year, core revenue was $1.026 billion compared to $948 million in 2008, up 8% year to year. Naming Services revenue was up 12% and Authentication Services revenue was up 3% from 2008 to 2009. Non-GAAP core operating margin for the full year rose 420 basis points to 37.7% versus 33.5% in 2008. Non-GAAP earnings per share was $1.28, which compares to $1 in 2008, a 28% year-over-year increase. Cash flow from operations was approximately $395 million for 2009. In 2009, free cash flow or operating cash flow adjusted to include excess tax benefit less net capital expenditures was $304 million. As Mark mentioned, we concluded our divestitures of all non-core businesses, generating total proceeds in excess of $765 million. We reduced headcount by 30%, approximately 1,000 positions. We utilized approximately $250 million in cash to repurchase 11.4 million shares of common stock in 2009. Let’s turn now to the fourth quarter. Revenue for our core businesses was $262 million, up 2% sequentially and up 5% year-over-year. Growth was largely driven by continued strength in Naming Services with revenue of $159 million, up 9% year-over-year. Authentication Services revenue of $103 million was up 1% over the same quarter in 2008. In Q4 there was no material impact to revenue from currency exchange rates. For the full year we experienced currency exchange headwind of approximately $4 million, primarily related to the yen. Our non-GAAP core operating margin was 36.8% in the fourth quarter, a 180 basis point reduction from the prior quarter. The Q4 non-GAAP operating margin was lower due to an out of period, $4 million non-tax depreciations adjustment in G&A, correcting for certain assets held at VeriSign Japan that were depreciated over a period longer than their useful lives. Normalizing for this G&A increase, non-GAAP core operating margin would have been 38.3%, in line with our original expectations for the quarter. In non-GAAP other income and expense, we incurred a loss of approximately $9.5 million in Q4 for our core operations. This loss was greater than expected due primarily to a mark-to-market of the contingent interest on the convertible debt that resulted in a loss of $1.3 million in Q4 as opposed to a gain as we saw in prior quarters in 2009. Transition Services revenue was $1.9 million in the fourth quarter compared to $1.2 million in the third quarter. Non-GAAP net income for the fourth quarter was $59 million, resulting in non-GAAP earnings per share of $0.31 compared to $0.33 in Q3. In Q4 we completed share repurchases of approximately $208 million, equating to 9 million shares. Approximately 6 million of the shares repurchased during the fourth quarter will come out of the share count in Q1 due to the treasury stock method of accounting. As of December 31, 2009, we had existing authorization for approximately $700 million for additional share repurchases. Moving on to cash flow and balance sheet items, operating cash flow was approximately $173 million in Q4 and was $395 million year-to-date. Consolidated capital expenditures were $51 million in the quarter and $117 million for the full year. Of the $51 million, $26 million was related to the purchase of a critical data center facility. Approximately 92% represents capital expenditures for core services in the quarter. We ended the quarter was a strong balance sheet with ending cash, cash equivalents and restricted cash of $1.5 billion, up $45 million from the prior quarter after share repurchases of $208 million and the purchase of the new facility as I noted previously. In addition to divestiture proceeds of approximately $185 million, during the quarter we received distributions of approximately $12 million from the reserve funds. There remains $21 million of these funds as currently classified in other current assets. Net consolidated DSO for the fourth quarter was 21 days, down 8 days from last quarter, due primarily to the completion of the divestitures. Deferred revenue from continuing operations ended the quarter at $888 million, up $7 million from Q3. Moving on to headcount, we ended the quarter with approximately 2,300 employees, down approximately 350 from last quarter as a result of the divestitures. There will be an additional reduction of approximately 200 employees with the wind down of CPS business and the completion of Transition Services. Factoring in possible new hires during the year, we expect to end 2010 with approximately 2,150 employees. With regard to guidance, as we indicated at analyst day in November, we anticipate that core revenue growth for 2010 will be in the range of 4% to 7% year-over-year. We also indicated that we anticipate continuing modestly expanding non-GAAP operating margin, expecting that we will exit Q4 2010 in a range of 39% to 39.5%. Non-GAAP other income loss is expected to be a loss of $32 million for 2010. Our guidance is based on continued growth and increased operating efficiencies in our Naming and Authentication Services business, in addition to financial projections for interest income and expense. In summary, we are pleased with our 2009 financial results and business accomplishments. We had solid performance, strong execution on strategic initiatives, and increased efficiency across the company. That being said, the divestiture process has been complex from an accounting and tax perspective and we are happy to have that largely behind us. As we enter 2010, we believe that our strong financial position will enable us to win back some top line growth, expand our operating leverage while seeking opportunities to deliver increased shareholder value. With that, I’d like to now open the call for your questions. Operator?
Operator: Thank you. (Operator Instructions) Your first question comes from Katherine Egbert - Jefferies & Company.
Katherine Egbert - Jefferies & Company: Brian, I have a question on the guidance. You gave that guidance before you announced the price increase and it goes into effect in July. Why isn’t there sort of more of a positive [talent] on revenue? Why are you sticking with the 4 to 7%?
Brian Robins: Yes, when we talked about this at analyst day, Katherine, we said whether we did a price increase or not that the amount of revenue that we would receive in 2010 wouldn’t impact the overall guidance and so with or without the price increase we’d be 4 to 7%. The amount of the revenue that we would receive from the price increase in 2010 is around $5 million.
Katherine Egbert - Jefferies & Company: So is the impact more 2011, would you say?
Brian Robins: Correct. It takes effect in July and then what the deferred revenue models every name that’s renewed after July or new names added that we would get the revenue.
Katherine Egbert - Jefferies & Company: And I believe you said you could grow double digits in 2011. Is that still the case?
Brian Robins: That’s our objective.
Katherine Egbert - Jefferies & Company: Can you just give us an update, you said you made some progress on the AUR by selling bundles. Can you just give us some color?
Mark McLaughlin: Yes, what we’re saying there is that on the AUR you know we knew we had the two factors in that of the mix of the brands as well as the discounting. So in the fourth quarter given that the economy was improving we were able to spend some time on getting reduced discounting from a sales perspective, and we were successful at that. So we know we were doing less discounting in the fourth quarter. Impact on that given the model would be seen in out quarters, but we had a very, very strong bookings quarter and less discounting going on in the quarter, so that’s positive for us.
Operator: Your next question comes from Todd Raker - Deutsche Bank Securities.
Todd Raker - Deutsche Bank Securities: I have a question on deferred revenue. If I look at short term deferred revenue, it actually declined sequentially from Q3 and I’m just having trouble understanding with the recovery you’re seeing on DNS units and the stability in the SSL business, why deferred revenue would be down sequentially. And as part of this, are you guys discounting in DNS names? Is there any kind of marketing programs going on that would account for that?
Brian Robins: Once again with the divested businesses and the core businesses, the balance sheet still has a little bit of apples and oranges. And so deferred revenue for the quarter for the core businesses was approximately $10 million, $6 million in the DNS and $4 million in SSL. Then we had a decline of $1 million in DSJ. Because we wound down our prepaid business, we had a decline of about $2.5 million of the prepaid deferred revenue which resulted in a $7 million net increase, Q3 over Q4. But if you take out the prepay at $2.3, it was a little bit over $9 million for the quarter. That would explain the reduction in short term deferred revenue.
Todd Raker - Deutsche Bank Securities: If I look at the impact we’re seeing in terms of recovery in DNS units and typical seasonality in Q4, it’s typically been greater than that. I guess two questions. Are we done with kind of the balance sheet noise or should we expect that to continue going forward? And are there any special marketing programs that you guys have been doing on the DNS side in Q4?
Brian Robins: On the Q4 deferred revenue increase from Q3, it was actually we had a very strong Q4 or more than we anticipated. And Q3 ’08 to Q4 ’08 we increased deferred revenue to $3 million and we increased it $6 million this year. And so we doubled the deferred revenue growth, ’03 to ’04, ’08 versus ’09.
Mark McLaughlin: On your question on the promotional programs, we continued to run promotional programs that we had in the business for a long time but nothing out of the ordinary, so there’s nothing special going on there from a promotional program.
Operator: Your next question comes from Steven Ashley - Robert W. Baird & Co. Inc.
Steven Ashley - Robert W. Baird & Co. Inc.: I guess maybe my question to start with is on the absence of first quarter guidance.
Brian Robins: You know as we go into 2010, you know we’ve given guidance for the fiscal year, 4 to 7% on revenue and said that we would incrementally increase our operating margin. We have given Domain Name guidance. The only thing that we haven’t given is the revenue range, to the extent that if we’re off from a revenue growth perspective we would update you on that. But based on the overall economy and some of the uncertainties out there, we aren’t going to be giving quarter-to-quarter revenue guidance. 
Steven Ashley - Robert W. Baird & Co. Inc.: Can you maybe talk about the ASP on the new business that was added in the fourth quarter, just how that might have compared to the AUR on certs that were added in the third quarter? 
Mark McLaughlin: I’ll talk in terms of ASP to answer that question because it’s one quarter there instead of an annualized number. So from an ASP standpoint we’ve seen the same kind of behavior on ASP that we’ve had in the past except that we were doing like less discounting at the high end. So we had some improvement from an ASP perspective in that regard on the high end.
Steven Ashley - Robert W. Baird & Co. Inc.: And in terms of share count for full year 2010, is there any kind of high level guidance, Brian, you might be able to give us?
Brian Robins: You know on the buy back I really can’t because we have $700 million authorized and we can’t comment on future repurchases, so sort of same comment on analyst days, we’ll look to return value to the shareholders. We purchased a little over $200 million in fourth quarter. Due to the treasury stock accounting method we only removed 3 million shares out. There will be an additional $6 million to come out in the first quarter and then we also said that we will continue to buy back the [crete] and I can’t really expand farther than that.
Operator: Your next question comes from Philip Winslow - Credit Suisse.
Philip Winslow - Credit Suisse: Just two questions here, first on the operating expense side. You guys have reiterated your margin guidance exit the year at 39 to 35, but how should we think about sort of the progression of OpEx over the course of the year? You’ve mentioned areas for cost reduction but also headcount additions. How do we see those two baking out? And then also just one housekeeping item, the interest on the other income line, what are your expectations for 2010?
Brian Robins: On the interest income line, other income, you know at analyst day we said that’d be $32 million and it’s roughly about the same quarter-to-quarter so expect it to be a loss of about $8 million per quarter. We will have some choppiness related to our embedded in derivative on the convert and you saw that between third and fourth quarter. Net net last year in 2009 we had a $500,000 gain on the derivative and so that will be one thing that we’ll call out for you that will potentially change $32 million quarter-to-quarter but for the year $32 million is a good number to use. And on the operating expense line, you know we continue to look at areas to take expenses out of the business to become more efficient. And as we do that, we’ll invest some back into the growth opportunities like Trust Services that we talked about at the analyst day. And we’ll look to incrementally increase that quarter-to-quarter.
Operator: Your next question comes from Rob Owens - Pacific Crest Securities.
Rob Owens - Pacific Crest Securities: With revenue near the high end of the range for the quarter, why didn’t we see a little bit more lift on the operating margin, and I guess specifically on sales and marketing? Were there some unique programs in the quarter or is this seasonal? Anything unusual?
Brian Robins: There was actually two things related to sales and marketing. One on our commission side a lot of accelerators were hit in fourth quarter due to the strong bookings that Mark talked about in his prepared remarks. And so there’s about a $1 million increase in commissions related to that. And then also on VeriSign Japan we had about $1 million over normal run rate as well. So the two of those were slightly over $2 million, that was really fourth quarter related, end of year and commissions in it and accelerators and some additional marketing activities that took place in Japan.
Rob Owens - Pacific Crest Securities: Second, do you have the mix of dot com and dot net in the quarter?
Mark McLaughlin: As far as the breakdown of new names?
Rob Owens - Pacific Crest Securities: Yes.
Mark McLaughlin: Hang on just a second. Com was 84 million and net was 12.7. That’s the zone, Rob.
Operator: Your next question comes from Kash Rangan - BofA Merrill Lynch.
Kash Rangan - BofA Merrill Lynch: In the security business, Mark, just wondering if, it looks like you’ve seen some price stability on the high end of the VeriSign brand, but are we still seeing a mix shift away from VeriSign or GeoTrust [inaudible]? And when do you think the mix shift will stabilize and therefore the lack of [inaudible] in the high end can actually help your AUR and margins going forward?
Mark McLaughlin: I think what we’re definitely seeing from a mix shift perspective, the low end still grows at a much higher rate than the high end, almost 4x higher than the high end. And I think we’re going to continue to see the low end grow at a higher rate, whether it’s 4x or not, at a higher rate than the high end of this. So I think we’ll have continued mix shift dynamics there that would impact the AUR for quite some time. So obviously if you were able to improve ASPs at the high end, that will help but my expectation is that the AUR as I said will continue to decline for some time.
Kash Rangan - BofA Merrill Lynch: Mark, any evidence at all and maybe hopefully this is not the case that there’s a trade down from the VeriSign addition to the lower end additions at all? Or do you allow that to happen with customers?
Mark McLaughlin: No. Well, there’s two things I can tell you in that that would lead me to believe that’s not happening, Kash. The first is that the renewal rates at the high end for VeriSign brand are very, very high, so we don’t lose customers up there and implied in that I think is that they’re not trading down on a grant. So I don’t see that happening. The second thing in the fourth quarter like I said we had a pretty strong quarter from a bookings perspective and that was particularly at the high end.
Operator: Your next question comes from Sterling Auty - J.P. Morgan.
Sterling Auty - J.P. Morgan: First on the Naming business you talked about the pick up that you’re seeing and the name growth and particularly you’re seeing the new names pick up. You mentioned international, but is there any other kind of sources that you could point to whether it be advertising, new business creation, what the drivers to some of that new name growth is?
Mark McLaughlin: Well, we track to macro trends as we mentioned before, online advertising and e-commerce. Both of those have appeared to pick up nicely in the fourth quarter so I always listen into Google, Yahoo, those guys calls from an online advertising standpoint. And you know both of those companies are reporting strong growth in the fourth quarter and smooth sailing ahead on that. Also some of the metrics that we look at as far as tracking those things have revised their scenarios to increase the expectations as far as what online advertising and e-commerce will grow at for rates in 2010. So that’s a positive for us as well. Like I said we always tend to lag a couple of quarters, either up or down on that, depending on what happens. But those are good indications for our business.
Sterling Auty - J.P. Morgan: On the SSL business we all kind of watch this AUR from quarter-to-quarter so closely, maybe taking it a step up, as you think about the 4 to 7% growth in core revenue in 2010, how should we think about that growth being split out between the Naming business and the SSL business?
Mark McLaughlin: I think you primarily would see a lot of growth coming out of the Naming side. We have the price increase that won’t really take impact until end of the year in 2011, so there’s the price aspect, there’s the Naming growth. And then you have the Authentication business. Right now from an Authentication standpoint, that’s growing the low single digits. So you keep that in mind. We’re doing some work to increase that growth rate including launch our new Trust Services here at RSA. But I would say you’re going to see more of that growth coming out of the Naming side for a good portion of this year, not the Authentication side until we ramp that up.
Sterling Auty - J.P. Morgan: Last question would be on the margin side, Brian, you know talk about the modest sequential improvement in operating margins through 2010, should we base that off of the 36.8% reported or backing out the VeriSign Japan impact and really work off of the 38.3?
Brian Robins: Great question, Sterling, and thanks for asking it. Work off the 38.3. The VeriSign Japan was an out of period adjustment that will not occur in first quarter.
Operator: Your next question comes from Craig Nankervis - First Analysis Corporation.
Craig Nankervis - First Analysis Corporation: I guess on the Domain name side, first of all, you’ve had a nice Q4, you talk about good color for advertising, online advertising, etc. Yet the Q1 guidance for Names is about flat I think with year-over-year comp. Wonder if you could comment on why you’re sort of guiding flat year-over-year.
Mark McLaughlin: That’s a great question, Craig. We did see strong fourth quarter obviously and we would expect the new names being registered to be strong in the first quarter because we always have great seasonality in the first quarter. The reason we’re a little bit hesitant to go any further than that is in the first quarter we have a much larger number of expiring names in the first quarter than over the fourth quarter, almost 2 million more names. So even though the renewal rates are increasing nicely and even though we would expect a good pick up in new names registered, just given the fact that the expired name basis that much bigger in the first quarter than in the fourth quarter, you kind of start at a deficit if you will when you apply the renewal rate to that. Does that make sense?
Craig Nankervis - First Analysis Corporation: I guess so.
Mark McLaughlin: Let me be more specific then because with almost 2 million more names in the first quarter expiring, if you apply the renewal rate to that, that’s close to like 700,000 names that you have to get over before you’re adding, if you think of it on a quarter over quarter basis.
Craig Nankervis - First Analysis Corporation: On the international side, can you comment whether dot cn closing to individuals provides any sort of incremental spur to your activity over there?
Mark McLaughlin: It’s possible, Craig. I mean for the benefit of everybody else, in China dot cn is under review by the Chinese government for some of their registration policies and registrars registering dot cn have to go through an increased level of validation before they can register a name. So there’s speculation given that names that might previously have been renewed or registered in dot cn might move to a different [TLC] and obviously if that was the case, one of the things it might accomplish is dot com. So if that’s all true and plays out that way we could expect we might see an increase in registrations coming out of China, but its early days.
Craig Nankervis - First Analysis Corporation: On just sort of not providing guidance for Q1, the comment was there’s economic uncertainty. Is there something new on the landscape that sort of point’s uncertainty for you? Because there was uncertainty through ’09 but maybe you’ve sort of had it with that and you don’t want to any longer guide, but I just wonder if there’s something incrementally new that’s causing you to not guide for the quarter.
Brian Robins: You know, Craig, there really isn’t. You know our business models, the deferred revenue model, we have high visibility into what the revenue is and there’s really not, the only thing that we aren’t giving that we’ve given previously is revenue and there’s really not much difference. Your model for revenue in first quarter is going to be very close to what the number will be.
Craig Nankervis - First Analysis Corporation: Do you have any Trust Services revenue baked into your 2010 guidance?
Brian Robins: We have some but it’s less than $5 million.
Operator: Your last question comes from Shaul Eyal - Oppenheimer & Co.
Shaul Eyal - Oppenheimer & Co.: You know $4 million in headwind in terms of currency from the yen, as we start thinking about the first quarter, are you guys hedging against the yen?
Brian Robins: Yes, we’re 100% hedged on the balance sheet but we don’t hedge on the P&L because we don’t want to take FX exposure if the revenue is not attained.
Shaul Eyal - Oppenheimer & Co.: And as you start thinking about your cash flow for 2010, what’s kind of going to be the estimate for cash flow from operations for the year?
Mark McLaughlin: So, Shaul thanks for bringing that up. Good question. We talked about it at analyst day. Once you add back excess tax benefit, the operating cash flow will be approximately $450 million.
Operator: That concludes today’s question-and-answer session. I’ll turn the call back to Ms. Fazioli for any closing remarks.